Operator: Thank you for holding. And welcome everyone to the Encore Wire Corporation’s Third Quarter 2023 Earnings Call. [Operator Instructions] Thank you. We’ll now turn the call over to Bret Eckert. Mr. Eckert, please go ahead. 
Bret Eckert: Thank you. Thank you, Jack. Good morning. And welcome to the Encore Wire Corporation quarterly conference call. I am Bret Eckert, Executive Vice President and Chief Financial Officer of Encore Wire. With me this morning is Daniel Jones, President, CEO and Chairman of the Board.  Before we begin our comments we would like to remind everyone that today’s earnings release and certain of our comments on the call include forward-looking statements. And actual results may differ materially from such forward-looking statements. I would like to refer everyone to the cautionary language included in our earnings release and too the risk factors described in our SEC filings.  I will now turn the call over Daniel for some opening remarks. Daniel?
Daniel Jones: Thank you, Bret. And thank you, Jack. Good morning, everyone and thank you for joining us on the call and for your interest in Encore Wire. We appreciate your continued investment, confidence and support. This quarter marked our tenth consecutive quarter of elevated margins to spot our continued belief that we are in the midst of a period of gradual margin abatement. As we have discussed at length on prior earnings calls, copper margins began to gradually abate in mid-2021 and aluminum margins peaked in the fourth quarter of 2022. Since then, we have invested heavily and continue to invest in improving our service model and efficiency levels to reduce costs, increase capacity and deepen vertical integration, which we believe should contribute to achieving sustained higher gross margin levels when compared to pre-COVID baselines. With respect to volume, I am pleased to have shipped a record number of copper and aluminum pounds in the third quarter. These results demonstrate a dynamic shift in volume shift when compared to a pre-COVID baseline. Copper and aluminum pounds shipped in the third quarter of 2023 increased by 21% and 96%, respectively, when compared to the third quarter of 2019. We captured the incremental market share by leveraging our single-site vertically integrated campus, deep supplier relationships and strong workforce to quickly manufacture and ship finished goods to our customers, despite the broader macro challenges facing the sector. The strong performance is also a reflection of our steadfast commitment to outstanding customer service and our intense focus on shipping complete orders quickly combined with our expanded reinvestment initiatives, such as the XLPE compounding facility, which was substantially complete at the end of the third quarter of this year. Since our inception, we have grown organically under the same value proposition that we were founded on, manufacturing innovative products while providing exceptional customer service focused on quickly shipping complete orders coast to coast. We believe our industry-leading fill rates continue to give us a strategic competitive advantage in the marketplace. Our one-location business model also affords us a higher level of agility in adapting to changing market conditions, structuring our operations to quickly service areas of new and growing demand, such as data centers and renewable energy markets. Demand for our products has remained strong. And our build-to-ship model, combined with the throughput of our modern service center, positions us well to satisfy increases in future demand. We believe that we have made and are making the appropriate sustainable investments to take advantage of future incremental demand for current and new product offerings that will help to facilitate the broad electrification of our economy. We expect that the current legislation in place to help fund the infrastructure needed for broad electrification will bolster long-term demand for many of our product categories. We also expect that this demand will raise the floor for the price of many raw material inputs for years to come. We firmly believe that our historical, recent, and future success is a direct reflection of our unique culture and the strength of our experienced team. We also believe that our one campus location, increasing verticals, deep vendor and customer relationships, and our ability to quickly shift complete orders will remain vital differentiators in our future success. We continue to believe that our stock is undervalued at current market prices and what we believe are historically low forward valuation multiples, as evidenced by our continued share repurchases in Q3 2023 and remaining repurchase authorization. Since Q1 of 2020, our share repurchase program has returned $686.6 million in capital to shareholders, and our continued purchasing demonstrates our confidence in the long-term value creation potential of our company. With that, I will now turn the call over to Bret to cover the financial performance in the third quarter. Bret?
Bret Eckert: Thank you, Daniel. Third quarter and year-to-date 2023 highlights include: third quarter earnings per diluted share of $4.82; year-to-date earnings per diluted share of $17.40; third quarter net income of $82.1 million; year-to-date net income of $306.3 million; gross profit of 23.3% in the third quarter of 2023; 26.9% year-to-date in 2023; cash on hand of $581.8 million as of September 30, 2023, $730.6 million as of December 31, 2022; capital expenditures of $118.6 million year-to-date in 2023. The company repurchased 710,083 shares during the quarter and 2,185,492 shares year-to-date in 2023. The total cash outlay for share repurchases of $121.2 million during the third quarter of 2023 and $375 million year-to-date in 2023. The company has repurchased 5,157,769 shares since the first quarter of 2020, which represents approximately 25% of the outstanding shares. Remaining share repurchase authorization of 1,289,917 shares of our common stock still exists through March 31, 2024. In a departure from previous calls, I’m not going to read you the earnings release, but instead highlight a few key points. Copper unit volume increased 6.4% in the third quarter of 2023 versus the third quarter of 2022, despite a very tough volume comp in the prior year quarter. Aluminum wire represented 12.5% of net sales in the third quarter of 2023 compared to 17.4% in the third quarter of 2022. Aluminum volumes in the current quarter were up slightly compared to the prior year quarter. Copper unit volume increased 6.8% in the third quarter of 2023 versus the second quarter of 2023. The decrease in net sales dollars in each of those periods was driven by an anticipated decrease in the average selling price in the current year periods, which is consistent with the gradual margin abatement we have been discussing over the past several years. Gross profit percentage for the third quarter of 2023 was 23.3% compared to 26.1% in the second quarter of 2023. The average selling price of wire per copper pound sold decreased 4.3% in the third quarter of 2023 versus the second quarter of 2023, while the average cost of copper pound purchased decreased 2%. This resulted in the continued gradual, albeit slowing, abatement of copper spreads during the quarter, primarily driven by the decrease in the average selling price noted above and partially offset by a decrease in the average cost per pound of copper purchased, which resulted in the decreased gross profit margin in the third quarter of 2023 compared to the second quarter of 2023. We believe the earnings for the first nine months of 2023 were exceptional and remain significantly above historical level. This is a testament to our organic growth strategy, one-location business model, historic and recent reinvestments in the business, and our hardworking employees, all driven by a culture of relentless attention to detail. At a macro level, persistent tightness in the availability of certain raw materials, ongoing global uncertainties, and the continued suppressed availability of skilled labor kept overall spreads elevated in the third quarter of 2023. Our balance sheet and cash flow generation remain very strong, allowing us to continue to reinvest in the business, while consistently repurchasing shares of our common stock. Since the first quarter of 2020, we have distributed just under $700 million to shareholders through share repurchases and dividends. And we believe that the outlook for our business positions us well to continue to build long-term value for our shareholders. Incremental investments to deepen vertical integration in our manufacturing processes, as well as other projects focused on driving efficiencies and increasing capacity, will continue to improve our service model. These types of organic investments have fueled our consistent growth since inception and position us favorably to continue to profitably capture market share for years to come. In 2022, we began construction on a new state-of-the-art cross-linked polyethylene, XLPE as we call it, facility, compounding facility, to deepen vertical integration related to wire and cable insulation. XLPE insulation is used in many applications, including data centers, oil and gas, transit, wastewater treatment facilities, utilities, and wind and solar applications. As Daniel mentioned, the new facility was substantially completed in the third quarter of 2023. Capital spending in 2023 through 2025 will further expand vertical integration in our manufacturing processes to reduce costs, as well as modernize select wire manufacturing facilities to increase capacity and efficiency, and improve our position as a sustainable and environmentally responsible company. Total capital expenditures were $148.4 million in 2022 and $118.6 million in the first nine months of 2023. We expect total capital expenditures to range from $160 million to $170 million in 2023; $150 million to $170 million in 2024; and $80 million to $100 million in 2025. We expect to continue to fund these investments with existing cash reserves and operating cash flows. I will now turn the floor over to Daniel for a few final remarks.
Daniel Jones: Thank you, Bret. Our strong performance in the nine months of 2023 positions us well for the future. Our outlook for demand remains strong, and our single-site, vertically integrated business model gives us a competitive advantage in the market today. The opening of the new service center in May of 2021, the opening of Plant 7 in the third quarter of 2022, the new XLPE facility that Bret mentioned in the third quarter of 2023, and the other capital projects under construction or planned, should provide us the capacity and efficiency to competitively capture market share over the long term. Our unique business model continues to serve us well in current market conditions and remains as a competitive advantage, giving us unmatched operational agility and speed to market and serving our customers’ evolving needs. Despite persistent tightness and availability of certain raw materials, our supplier partners continue to deliver on their commitments to Encore. We wouldn’t have this level of success without the consistent, exceptional performance of our long-term suppliers. Looking ahead, we remain solely committed to execute upon the core values of our company, unbeatable customer service, nimble operations, and quick deliveries coast to coast. I remain confident in the strength of the Encore team in place as we stand ready to navigate any challenges that lie on our path. I want to close by thanking our employees for their hard work and commitment to safety, quality, and excellence. Our continued success would not have happened without their outstanding contributions. Our strong financial results have allowed us the opportunity to incrementally invest in our team as we position Encore as an employer of choice in the sector. Also want to thank our shareholders for their continued support. Jack, we'll now take questions from our listeners.
Operator: Certainly. [Operator Instructions] Christopher Moore with CJS securities. Your line is open.
Christopher Moore: Hey, good morning, guys. Congratulations on another strong quarter. Thanks for taking a few questions.
Daniel Jones: Hi Chris.
Christopher Moore: Good morning. So maybe just we'll start with gross margins. Obviously, where they normalize is kind of the key question. Fiscal 2024 consensus targeting gross margins right around 20%. So maybe two questions here. Is the 15.2% gross margin in fiscal 2020, is that a reasonable base to work off of?
Daniel Jones: It's a great question, Chris. And welcome to the call. I'd answer it this way. If you go back late in 2019, but mainly throughout 2020, we made some financial and operational changes that improved realized gross margin and moved it from 13% in 2019 to, I think 15.2% in 2020. I will say this, I don't believe the annual impact of the changes implemented in 2020 were fully reflected in the 15.2% margin for that year. And then with margins jumping to 33.5% in 2021, 36.9% in 2022 and 26.9% year-to-date in 2023, it's kind of masked the annualized impact of some of those changes we made in 2020. I think it's a great baseline to start with. I just wanted to put a little clarity around it. I will tell you that we continue to take things one order at a time, one day at a time, one week at a time, immediate order, immediate ship, always managing this business like our back is against the wall. I also tell you this remains a pennies business, even when you're picking up pennies in handfuls. We're going to continue to put margin over volume and make sure that we're serving our customers at the highest level. So I think it's a great place to start. I just think there's probably some noise in a number as well.
Christopher Moore: Got it. Very helpful. Maybe the second piece of that is just how long will it likely be before the gross margins normalize? I guess, specifically, what are the puts and takes that gross margins could bottom in fiscal 2025?
Daniel Jones: Yes, go ahead.
Bret Eckert: Yes, I was just going to say, Chris, add to that, when you look at the market segments that we're serving, I mean, it's no secret that the residential pieces bottom some. There's a lack of inventory. There's still some overhang, obviously, with the interest rate, but there's still a lack of completion on some of the projects that have already been financed because of the supply chain issues with gear industrial steels contributing to that. There's a lot of houses that are sitting incomplete at this point, and there's slack in that market to begin with. The commercial market has been bumping along, doing very well, relatively speaking, and then the industrial markets got a pretty good boost. And then you have this overhang, if you will, of the government funding. So in the markets that we're serving, and if you couple that with the projected or future demand for our raw materials or the inputs, it's obviously hard to predict what the margin is going to do or not do at this point, but it looks good going forward.
Christopher Moore: Got it. I appreciate that. And maybe just last one. Given the supply demand backdrop, copper pricing seems a little depressed at this stage. I just wonder if you had any thoughts there?
Daniel Jones: You're exactly right, Chris. It absolutely is. And you hear from the miners as well. I mean, the fundamentals in copper are just not there, right. You have four days of supply above ground. That's a vast improvement from the three and a half we were in July, right. And I'm being facetious here, it's not at all. China is showing some signs of life, despite what you read. You see consumption and production going up there. So 360, 355, copper is just not representative of the supply today. Interest rate increases a stronger dollar, and some uncertainty around global sentiment is obviously playing a role in all of that. But that price has to move up. It's just way too low. We like an environment where copper prices are moving up steadily. That's the easiest way to manage an order. And so, yes, it's artificially low. The other thing you're now hearing miners say, and you heard it recently even this week, that price of copper is not enough to incent them to cover the cost of capital it takes to invest. And so they'll start focusing on some brownfield projects, but they're slowing greenfield projects. You're slowing that investment in the face of an already significant supply deficit. So something has to give with regard to that. And I think you're going to eventually get some strength in the metal as things start to maybe level out a little bit in China, we get our handle on interest rates here. And then demand for all the electrification and grid hardening that's out there really starts to take effect. A lot of these federal programs are still just trickling in. When the wave of that really hits, I have to believe the basic fundamentals of supply and demand take over and you start to see it in the price.
Christopher Moore: Perfect. I will leave it there. Really appreciate it, guys.
Daniel Jones: Great question. Thank you.
Bret Eckert: Yes, welcome to call.
Operator: Brent Thielman with D.A. Davidson. Your line is open.
Brent Thielman: Hey, thanks. Good morning, Daniel, Bret, the volume increase 7% sequentially 6% year-on-year off. A pretty tough comp was notable. I guess, Daniel, were there some uniquely sized orders embedded in that or do you think customer destocking sort of went too far in the first half? Just be interested in kind of how we should interpret the strength there and I guess, kind of further to that your overall capacity to support the sort of volume going forward.
Daniel Jones: Yes. Great catch, Brent, as usual. Most of our distributor customers that we have met with, and I think we hit probably 60% to 70% of them in the last few weeks in person. Their destocking programs are either complete or very close to complete. And it appears that they're back to focusing on other cost cutting ideas, which typically is labor, where we can offer some of our additional services here from the new service center to kind of meet that demand. And then to your other piece of the question, the big orders are definitely bigger, currently with the data center demand still doing very well. As far as the commercial and industrial piece you tack onto that the AI interest and investment and the big orders are just getting bigger. Our average order size is up. It was up in the quarter. That's always a very positive sign. They're a little more complicated orders to handle, which fits our one location, heavy service focused business model. So it looks like it fits pretty well. I'm bullish on that side of the market, a lot of quote activity, lot of convenience type add-on value for the installer that we're capable of providing at a premium. There's a lot of things happening on that side, as I mentioned early in the call that are picking up and in that quote to order phase is pretty good. It's pretty tight on the timing. You quote it one day and they're ready to go within a day or two. You can write the purchase order and start to build it and ship it. So that side of the market is performing pretty well.
Brent Thielman: That's really helpful, Daniel. And as a function of these average order sizes going up, more complicated orders, is that the reason why you're seeing this sort of slowing abatement relative to the second quarter and spreads and I guess overall average selling prices, or is there more to it?
Daniel Jones: No, that's part of it. It definitely contributes. As Bret mentioned, I've got a long track record. I'm not interested in getting larger and poorer. So when we go after some of these things, we're going to charge for it. We've got a phenomenal group of sales reps, we've got a fantastic team in house operationally and sales perspective to manage our capabilities. And that's really what it comes down to. If there's an order that's substantial that we cannot handle, I'd rather pass on it than mess it up. But the reality is, you ask the question, why can't we handle it? And I think you've seen with our CapEx the last couple of years that we're in a really good spot to handle these going forward. It really is a – there's some technical expertise that's involved, but again, the speed to market piece is where we're winning.
Bret Eckert: And I'll just jump on that, Brent. I think that service model really is resonating. Our service model is absolutely humming right now. Fill rate is back where it needs to be. You're getting these calls and you're getting a call on a Wednesday and they need you to ship it tomorrow and we're able to service that order and that is what's also helping us sustain or seeing a slowing of the margin like we talked about on the copper side.
Brent Thielman: Okay. And then – it looked to me like spot commodity prices for copper were up around 8%, at least the way I calculated it in the quarter, whereas your cost purchase was less than 5%. Is there anything to read from that? Or is that just an anomaly based upon when you bought the metal in the quarter?
Daniel Jones: Listen, I make our purchases every single day, all day, Brent. Obviously, I can't say it's an anomaly, but based on kind of how the average plays out, does the price run up to start the month or end the month, or is it mid month? Are there opportunities with regard to that? How much scrap is available that we have that we can sprinkle in as you go through it? So the shape is a big and critical piece of that. And so all that kind of comes together to come back with kind of the average cost. I mean, overall, when you look at the quarter, prices down slightly, obviously in the quarter, it's not moved a whole lot after the peak kind of the start of the year. It's just been bouncing around for the last three to four months at a pretty consistent level.
Brent Thielman: Okay. All right. And just last one. Bret, is it still your view you'd like to sort of maintain around $200 million in cash on the balance sheet for sort of working capital purposes?
Daniel Jones: Yes, I think 200 to 250 is the right number. That's if copper hits $2 or $6, you need the cash on the fringes. And that's a comfortable number. Obviously, we have our line that's out there that obviously remains untapped, but 200 to 250 is the right cash number, in my opinion.
Brent Thielman: Got it. So $300 million to $350 million deployable. It will.
Bret Eckert: I’m trying.
Brent Thielman: I’ll get back to you. Thanks, guys.
Bret Eckert: Thanks, Brent.
Daniel Jones: Thanks, Brent.
Operator: [Operator Instructions] Our next question comes from Eric Marshall with Hodges Capital. Your line is open.
Eric Marshall: Hey, congratulations on another great quarter, guys.
Daniel Jones: Thanks, Eric.
Eric Marshall: Just curious, I don’t know how much you guys could elaborate on this. But with copper prices since the quarter ended here in the month of October have come down closer to the $3.50 area. Has wire prices in general, not just for you, but the industry, have they declined as much as the commodity in the last 30 days?
Daniel Jones: Yes. We ended the low in September was around $3.60, and I think that’s right where we’re operating in October, $3.61, $3.62 somewhere in there. When you have that quarter of July, it ran up from the beginning from the high to low to about – it was about $0.27 a pound. August went the other way about $0.24, and then recovered toward the end of $0.14 a pound. When you get this type of volatility, timing of the purchase by our customers is obviously important. The way that we price our product to the distributor is immediate. If they hang up the phone, essentially we re-quote it when they call back. So we’re live as live and as hot, if you will, as you can be with copper. We are not the first nor are we very quick to go down with building wire prices based solely on the price of copper. If you look at the other inputs, diesel, which is a big contributor to our freight, which is a consideration in our quotes daily, you saw it go the other way. Diesel is much more expensive than where we started. So there’s a lot of back and forth in the market. Part of it is science, part of it is art. We’re really good at both. And most of the conversations, again, on these large jobs, they’re trying to smooth out the volatility that you see in copper in the market. So building wire pricing is not as quick to react as it’s been in the past. I was looking through some numbers this morning, and you can almost lay the same volatility pattern of copper over aluminum, and it’s almost an exact duplicate if you take the aluminum number and up it 3x and that’s not happened in the past. There’s a lot of volatility, Eric, a lot of jerking back and forth. We’re really focused right now on the service piece, on the delivery piece, and less reactive to the noise that we’re hearing in the market from competitors that just don’t have the product to deliver on time. That’s a great question.
Eric Marshall: I guess I was just looking at like the average copper price over the course of the third quarter. If you take July, August, September it was I think around $3.80.
Daniel Jones: $3.70.
Eric Marshall: Okay. Have building wire – to me, it looks like spreads ought to be at least stable in the first month of the quarter. Just looking at what’s happened in building wire prices and what’s happened with the commodity, not just Encore, but across the industry? Is that a fair statement?
Daniel Jones: It’s fair. As we’ve said in the past, I can only give you a color for September, end of September. What’s happening in October there’s no surprises at this point.
Eric Marshall: Okay. Well, thanks a lot, guys. Anything you can say about the current CapEx as far as any new markets or anything like that that could create opportunities for growth next year?
Bret Eckert: Well, we wouldn’t be making the investments, Eric, if we weren’t confident in them, right? But we will give more color around it. Typically with our pattern, as we get closer to completion, we’ll lean in. I expect to lean in when we come out with year-end earnings with a little more detail on our existing project that we have going on that’s been referred to, I think in Brent Thielman’s report earlier this year. And so we’ll lean in on that, and then we’ll update CapEx ranges through 2025 and 2026 at that point. And so we’ll get some more color as we get closer. We just don’t want to get too much information out there from a competitive purpose until we’re closer to getting our certificate of occupancy.
Eric Marshall: All right. Well, thanks a lot, guys, and we appreciate everything you’ve been doing for the shareholders.
Daniel Jones: Come see us, Eric.
Operator: Julio Romero with Sidoti & Company. Your line is open.
Julio Romero: Good morning, Daniel. Good morning, Bret. Thanks for taking the questions.
Daniel Jones: Yes, sir.
Julio Romero: Maybe to start just kind of a broader question. What are you seeing on the overall non-residential demand side? Some of the macro indicators are signaling a bit of a slowdown in planning of new projects. And I wanted to see if you’re seeing or hearing that at all from your customers, especially since the areas of non-res that you sell into data centers you talked about earlier have a little bit better secular drivers than maybe the broader overall non-residential.
Bret Eckert: Yes. If you rank the three categories, industrial had the best positive numbers. Commercial also is positive, and the residential piece, regionally, there’s ups and there’s downs. But for the most part, net-net the residential is about flat slightly up with what we’ve been running the last few quarters.
Julio Romero: Okay. Got it. And this was asked earlier a little bit, but maybe if I can ask it a little bit differently. Just if we kind of think about – if we’re on the fourth quarter earnings call and we see the spread number that ends up there, just how should we think about that spread number when you consider everything, right? The gradual abatement that should normally continue, but then also the broader uncertainty and the less than ideal copper environment, if you sum all that up, just how should we interpret, I guess, the fourth quarter spread?
Daniel Jones: Well, I mean, that’s a tough one, Julio, right? You don’t have a crystal ball, right? I think as we look at this, we talk about it a lot, it’s cliche, but it’s one order at a time, right? And those one orders at a time service at the highest level is what’s helping us sustain or slow the abatement that we saw on the copper side. We’ve talked about the fact that copper margins peaked in June of 2021, and we’re over two years and three months past that. We’ve talked about how aluminum margins peaked in October 2022 and have abated. And obviously you’ve got a bigger influx still that we talked about earlier this year of aluminum coming from imports. And so you have to kind of put all that together. You have to always look at the fourth quarter. October is always a big month in the fourth quarter. And then you start to land things as people start to try to close out the year. I think the typical destockings at times you would see from a distributor that may not want to carry the inventory into the new year kind of occurred earlier this year. We saw a heavy destocking in March and those levels have kind of stayed at that lower level, which, again plays very well into our service model. And so we may not see that as big impact from that, but you always have people that start to push volume to finish out year. And you know we’re going to put margin over volume. And so it’s hard to say how do I take it. I think you look at it as far as overall, what the margin has done and what volume is tracking. And the federal funding, as those programs start to get closer to really getting entrenched a little bit more, when is the uplift going to come from those.
Julio Romero: Understood. And then maybe just on the capital spending that you guys talked about, congratulations, by the way, on completing the XLPE facility. And I appreciate the comment earlier, Bret about some more color next quarter, I guess as we talk about go forward plans. But on the press release, you talked about some capital spending through 2025 should further expand vertical integration. So I guess should that – should I interpret that as kind of the return for the go forward CapEx should come from cost reductions and efficiencies more so than incremental volumes or product lines?
Daniel Jones: I think it’s both, right? I think anything that we can invest in to improve our service model and that could be vertical integration, it could be distribution, it could be modernization of facilities. We’ve talked regularly, and that’s what keeps the supply chain broken today is the access to skilled labor that’s not coming back, right? And so to the extent you can get efficiencies with regard to certain of your facilities that can help with that process, it’s going to be all of that, really, as you go through it. And that’s the tough part, because when you’re analyzing an investment, how you would analyze an investment like a service center, it’s going to be a lot different than a new plant or an expanded facility or even the XLPE facility, right? And so some take costs out of the system, some improve very directly your service model. I’d argue they all improve your service model. And that’s really our baseline for investing is, does that improve our service model? And that could be capacity, efficiency or cost.
Julio Romero: That’s great color. And thanks for pointing out the service center, because I remember how that kind of added to the service prop there. Appreciate you guys taking the questions. Thanks.
Daniel Jones: Thanks, Julio. Good work, Julio.
Operator: Ulrich Voss with [indiscernible] your line is open.
Unidentified Analyst: Thank you very much. Congratulations to another great quarter. I have four questions, I think. The new facility, what revenue do you expect from the new facility going forward next year? The second question would be regarding cash management. How do you invest about $580 million in cash right now? Are they in treasuries? What is the projected interest income from that? And did you do any buybacks in Q4 so far?
Bret Eckert: Okay, perfect. I think I got three. Was there a fourth one?
Unidentified Analyst: Yes, that’s coming later on. It’s too much otherwise.
Bret Eckert: Okay, perfect. So on the revenue with regard to the XLPE facility, we’re not selling any of the off-take or any of the off put from that facility. We’re only using that for our own purposes. All right. And so it’s really more of a cost initiative as you go through that. We talked about all the uses of the cross-link polymer insulation that was one part of the supply chain we didn’t like the risk profile of as much as some of the others during the pandemic, mainly because there was a governor in place and that a lot of folks were put on quotas as to how much you could actually get. We were able to double the number of trucks coming in here monthly in the middle of the pandemic. But we still didn’t have all the insulation, cross-link poly insulation that I would like to have had. And so by building your own facility, right, you take the risk out of that, right. You’ve got the ability to grow that as much as you see fit. And then ultimately, once it’s optimized, and that’s going to take nine months to twelve months to really fully optimize that facility. That’s where you’ll see the cost reduction. On the cash management side, we ended the quarter with $582 million. We continue from a use of cash standpoint focused on share buybacks and capital expenditures. And that’s been consistent as we talked about since February of 2020. If you look at the cash balance, that went from about $731 million at the end of December to the $582 million at the end of September. Cash went down $146 million. During that same period, we spent $375 million in share buybacks and roughly $120 million in CapEx. So despite spending $495 million, cash only went down $146 million. And so the reauthorization, the authorization back to a full 2 million shares in June, which you have a little over 1.1 million, 1.2 million remaining, shows the Board’s confidence in continuing those repurchases. We do invest our cash in overnight in short-term securities, off balance sheet for any banks, but we do keep it fairly liquid.
Unidentified Analyst: Interest [indiscernible].
Bret Eckert: And listen, interest income, that’s the great side of interest rates to be on when you have cash. And so the interest rate increase has obviously been contributing. You’ve been running probably $3 million to $3.5 million a month, or $9 million to $10 million a quarter in interest income with the cash balance you’ve seen. As the cash balance comes down, hold interest rates steady or they go up. I think it’s easily a $25 million to $35 million number on an annual basis, depending on what the cash balance is. I really can’t comment on buybacks post third quarter.
Unidentified Analyst: Okay. But it might fair to assume that the run rate is kept up like the quarters before.
Bret Eckert: Well, I mean, you can look at the last three quarters and we purchased right around 700,000 to 775,000 each quarter, right. And ironically, the amount is almost identical. That was not by design. Someone asked me that a couple of weeks back. But it’s always been in that $110 million, $125 million kind of range. And so you saw the increase authorization. And so I guess you can take from that pattern what you want.
Unidentified Analyst: Yes. And the last – the fourth question, do you know who is short, I wonder, because it’s almost 4.2 million shares. I mean, you’re one of the most shorted companies. And I wonder if there might be a trade going on because you are so cheap to borrow with a meager dividend. And I wonder if there are some fancy hedge funds borrowing the stock really cheap and put that money into treasuries for 5%. Do you know who’s short and why?
Bret Eckert: I don’t – I mean, I don’t know who’s short. And it seems like everyone always if you talk to someone, they always know someone that is it’s not them. Whenever you experience rapid period of success in a short period of time, you’re going to attract a certain type of investor who wants that volatility and that’s all they want. They just want the volatility. We’ve seen some frequent price swings that are pretty wide relatives of the broader market. And so that obviously keeps that interest there. We’ve been very clear in our belief that margins would gradually abate and that our results would normalize whatever the new normal is, right. And so as you tell that story, the bears and the bulls use the parts of the stories they want to tell, right? The short stories, hey, they’re going to abate. From what I can tell, I think the short thesis is that you’re going to find that margins go back to levels that were kind of normalized to the pre-COVID level. Some of the challenges when you look at this, and if you just take the 368 [ph] we made in 2020, right. If you do nothing else but add interest income, right, to that base net income number and divide by today’s share count, now you at least got a starting point, right. And it’s higher than the 368. Volumes are up 20% since then. And margins are fundamentally higher. And so that case is something I think that we respectfully disagree with. But we’ve put our money where our mouth is with the repurchase program. We’re still trading afford valuation multiples that are well below normal. A lot of the benefit from our CapEx initiatives over the last year or so are still going to show their benefits in future periods. And if you just then settle with the demand drivers and the structural support for raw material inputs, they all remain positive. So with all that, I still see tremendous value in our stock, which I think the Board evidences with consistent repurchases every single quarter. So we’ll see, I guess the shorts at some point may be shareholders.
Daniel Jones: Yes. Over we also – over the years, we went public at 1992. And we’ve had periods where we get lumped in with – our stock is lumped in on copper plays. If folks are betting that copper is going to go down, they’ll associate that over the years. I’ve seen them associate that with our share price on the bet on the downside, so you just don’t know. We look into it. We try to keep up with it. We do a few things internally as best we have any type of control to try to go after that. So the easiest thing to see what our feelings are going forward and how we feel about the shorts and the multiples, as Bret just mentioned, is the stock buyback.
Unidentified Analyst: Okay. Thank you very much and good luck for the further execution of the strategy. And I think the most important thing probably is the operational excellence and yes. Thank you all. I appreciate call, yes.
Daniel Jones: Thank you.
Operator: Our final question is a follow-up from Brent Thielman with D.A. Davidson. Your line is open.
Brent Thielman: Hey, thanks, guys. Just a couple more. Bret, just wondering if you could clarify the SARs cost that might be embedded in SG&A this quarter and maybe how we should think about SG&A going forward?
Bret Eckert: If you look at it, and we really try to lay it out a bit in the press release. We’ve got about a $16.9 million SARs expense in the first nine months. I think that number that we actually took the SARs for in the first quarter, which is really where the bulk of the SARs came, it was probably $13.5 million, $14 million. And that’s the swing we talked about in the first quarter because you actually saw a $4 million or $5 million benefit in the first quarter of 2022 compared to $13.5 million and $14 million SARs in the first quarter of 2023. And so the difference in that and the $16.9 million on a year-to-date basis obviously would account for the difference in the last six months. We do get SARs. We’re not issuing anymore. The last ones were issued in January of 2020. The exercise of those by employees continues. So we’re down to less than a third of what we had outstanding in January of 2020. And so somewhat of the timing of when someone potentially exercises that within a quarter, that then gets marked to whatever that price is that they exercise it. And that may be above or that may be below what the quarter end price was. And so some of that kind of falls out in the wash.
Brent Thielman: All right. I appreciate that, Bret. And then just the follow-up, the XLPE investment, I think this was intended to help maybe debottleneck some things, control your costs, maybe it potentially unlocks some capacity and having that full integration. You’ve talked about several markets that product goes into. But, Daniel, if you were to sort of narrow that list down, which of those markets or what gets you most excited about this investment in that product area? I would imagine data center sort of topped the list. But are there some other areas that this can accelerate for you that really validates putting the dollars into this?
Daniel Jones: Yes. With the whole – most of the Federal programs that have been announced, each one of those have a component that will create additional or at least solidify financially. The demand for the product that takes the XLPE water treatment facilities, majority of that is XLPE product. The hardening of the grid, there’s a significant amount of the distribution product that’s involved with XLPE installation. The data center AI upgrades the expansions of the current designs that are being reconfigured for data centers to become more efficient, allows for more of a multipurpose, if you will, product to be installed. And that’s all XLPE or cross-link products. So it’s really more of the same with some substitution. And the XLPE is good for that on both copper and aluminum metal conductors. So it’s an exciting idea, it’s exciting demand that’s going to be there. We’re managing, if you will, that enthusiasm internally. And you couple that with controlling the input side. It’s going to be a good product for us. The hard part is to put your finger on what that actual number is going to be. But there’s no question with existing sales alone, without the new enthusiasm on top of these federal and state programs, we had to go that route to control our cost and as Bret mentioned more than once, control our service model. But the volume upside is substantial.
Brent Thielman: Yes. And Daniel, I mean, some of these areas, data center, grid hardening, renewables, I don’t recall being big markets for you five plus years ago. Maybe I’m wrong, but seems like this opens up some new doors for you. Is that a fair statement?
Daniel Jones: It definitely does, yes. We’re following existing customers where the peculiarities of doing business have been identified. We’ve talked about that in the past. Existing customers are going into and supporting their customers, as you should, which are reaching into some areas that may not have been labeled as a particular market segment for us in the past. The good thing is it’s the same technology, it’s the same wire that we currently make. It’s just more of it.
Brent Thielman: Okay, very good. Thank you.
Daniel Jones: Thanks, Brent.
Operator: There are no further questions at this time. I’d now like to turn the call back over to the presenters.
Daniel Jones: All right. Thank you, Jack, appreciate it. And I appreciate everyone’s involvement and great questions today. You guys have a great afternoon.
Operator: This concludes today’s program. We thank you for your participation. You may now disconnect.